Operator: Good morning and welcome to the Chart Industries, Inc. 2017 First Quarter Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. As a reminder, today's call is being recorded. You should have already received the company's earnings release that was issued earlier this morning. If you have not received the release, you may access it by visiting Chart's website at www.chartindustries.com. A telephone replay of today's broadcast will be available following the conclusion of the call until Thursday, May 4. The replay information is contained in the company's earnings release. Before we begin, the company would like to remind you that statements made during this call that are not historical, in fact, are forward-looking statements. Forward-looking statements involve risks and uncertainties that could cause actual events or results to differ materially from those expressed or implied in the forward-looking statements. For further information about important factors that could cause actual results to differ materially from those expressed or implied in the forward-looking statements, please refer to the information regarding forward-looking statements and risk factors included in the company's earnings release and latest filings with the SEC. These filings are available through the Investor Relations section of the company's website or through the SEC's website, www.sec.gov. The company undertakes no obligation to update publicly or revise any forward-looking statements. I would now like to turn the conference over to Jill Evanko, Chart Industries' CFO. You may begin your conference.
Jillian C. Evanko - Chart Industries, Inc.: Thank you, Jonathan. Good morning, everyone. I would like to thank you for joining us today. I will begin by giving you a brief overview of our first quarter results and outlook for 2017. Then, Bill Johnson, President and COO, will provide comments on our current market and order trends, as well as the progress of our restructuring activities in each of our businesses. Also on the call is Sam Thomas, our CEO, and he will provide summary commentary at the end of the call. Net loss for the first quarter of 2017 was $2.9 million or negative $0.09 per diluted share. This included restructuring expenses from cost reduction initiatives in the quarter of approximately $4.6 million. Excluding these items, first quarter 2017 earnings would have been $0.01 per diluted share. This compares with a net loss of $3.3 million or negative $0.11 per diluted share for the fourth quarter of 2016 and a net loss of $4.7 million or negative $0.15 per diluted share for the first quarter of 2016. On a comparable adjusted basis, fourth quarter 2016 adjusted EPS would have been breakeven and the first quarter of 2016 would have been negative $0.08 per diluted share. Sales for the quarter were $204.1 million, an increase of 5.3% from the first quarter of 2016 with all three businesses' revenues growing over 5%. Net sales sequentially decreased by $10.3 million from the fourth quarter of 2016 as several LNG projects in the Distribution and Storage business in Europe did not recur in the first quarter. Our gross profit for the quarter was $55.7 million or 27.3% of sales, including $2.5 million of restructuring charges. Gross profit for the fourth quarter of 2016 was $57.1 million or 26.6% of sales, inclusive of $900,000 of restructuring and other one-time charges. Orders received in the first quarter totaled $209.7 million, an increase of 14% from fourth quarter 2016. Sequentially, orders are up in all three businesses. The primary drivers of the $25.7 million increase over the fourth quarter of 2016 is strength across the business units, in particular in global packaged gas, LNG vehicle tanks, equipment for natural gas processing plants, and Europe and Asia respiratory. Backlog at the end of the first quarter was $348.6 million, which is up from $342.6 million as of the end of 2016. In addition to sequential growth in orders and backlog, we're also seeing increases in our order pipeline and quotation activity across our businesses. E&C segment sales of $39.9 million for the first quarter increased $8.5 million or 27% from the fourth quarter of 2016, and increased 5% over the first quarter of the prior year. The increase was due to project execution, the addition of Hetsco to our Lifecycle business, and revenue associated with the Bechtel FEED study for the Tellurian Driftwood Project. Gross margins were 21.1% in the quarter compared with 18.3% in the fourth quarter of 2016, and 14.4% in the first quarter of 2016. The increase in margins is primarily driven by the cost reductions taken in the business, both in the U.S. and China. In our D&S business, first quarter sales of $113.3 million was an increase of $5.8 million compared to the first quarter of 2016, and a decrease of $20.1 million sequentially from the fourth quarter of 2016. We continue to see strength in our U.S. packaged gas business and LNG vehicle tanks products. The D&S gross margin of 27% is a sequential increase of 130 basis points over the fourth quarter of 2016, and was down slightly from the prior year first quarter, driven primarily by last year's one-time favorable insurance settlement of $1 million. In BioMedical, sales increased 5.5% year-over-year to $51 million, primarily due to global growth of 11% in our respiratory business. BioMedical revenues were up sequentially by $1.4 million from the fourth quarter of 2016. BioMedical gross profit margin of 32.7% in the quarter included restructuring expenses of $2.1 million for the closure of the Buffalo respiratory manufacturing facility, which is complete as of March 31. On a comparable basis, excluding restructuring, gross margins for the BioMedical business increased from 36.3% to 36.9% sequentially, resulting from favorable product mix in the quarter. SG&A expense for the quarter was $52.4 million, up $400,000 over Q4 2016. The increase in SG&A is related to higher share-based compensation expenses, $2.2 million of restructuring expenses related to our corporate office relocation, the BioMed Buffalo move and the China footprint consolidation. SG&A in the first quarter also includes the addition of our Hetsco acquisition. The fourth quarter of 2016 included $3.8 million in restructuring costs. We expect to see a reduction to our second quarter and second half BioMed and total company SG&A resulting from the completion of the Buffalo respiratory move and lower share-based compensation expenses. Moving to our outlook for the remainder of the year. Our first quarter order intake and improved signs of recovery in our energy-related markets, combined with our previously announced restructuring activities, supports our prior full-year guidance. We continue to expect sales for 2017 to be in the range of $875 million to $925 million, and full-year adjusted earnings per diluted share to be in the range of $0.60 to $1.00, on approximately 31.3 million weighted average shares outstanding. This excludes the impact from any restructuring costs and assumes a full-year 2017 tax rate of 34%. The company anticipates further improvement to the effective tax rate, irrespective of the outcome of the potential U.S. tax code changes. These improvements will be driven by the completion of the Chinese facility consolidations and a return to profit levels in that region. We estimate our capital expenditures for 2017 to be in the range of $35 million to $45 million. I will now turn the call over to Bill Johnson.
William C. Johnson - Chart Industries, Inc.: Thank you, Jill, and good morning, everyone. I will now discuss the results and trends in each of the business segments. During the first quarter, our Energy & Chemicals business booked $38 million in orders, which is up from fourth quarter 2016 orders of $20.5 million. Backlog at the end of the quarter was $98 million, which is down from the prior quarter's backlog of $99.8 million primarily driven by the successful completion of large projects. We saw strong first quarter orders in our brazed aluminum and air cooled heat exchanger products, primarily related to cryogenic gas plants. Equipment orders for eight plants were received in the first quarter. With the increase in drilling in the Permian and Scoop & Stack basins, we are seeing more associated gas. This is driving an increase in the supply of ethane, which when coupled with $50 to $55 oil, makes ethane an attractive feedstock for ethylene cracking. Along with more gas processing equipment needs, it also translates into an increase in propane and butane dehydrogenation related activities. Additionally, our IPSMR technology is generating a high-level of interest, in particular in the mid-scale LNG plant size. In March, we booked a Tellurian Driftwood FEED study and anticipate further interest in the year related to this proprietary technology. In addition to the growth in orders and revenue within E&C, the gross margin improvement reflects the efforts related to restructuring in both domestic locations, as well as the nearly complete consolidation of our Wuxi, China facility. We anticipate completing the consolidation of Wuxi brazed aluminum and heat exchangers by the end of the second quarter. Lastly, our recently acquired Hetsco business continues to be successfully integrated into our LifeCycle business and is on track to achieve the positive financial performance anticipated at acquisition. In our Distribution & Storage business, we booked orders of $120 million in the first quarter, up 4.7% from our fourth quarter 2016 orders of $114.6 million. Order strength in the quarter was driven by U.S. packaged gas, industrial gas railcar orders and LNG vaporization stations in Asia. Backlog for the quarter increased from $218.2 million at the end of the fourth to $225 million. Within Distribution & Storage Asia, our orders for industrial packaged gas increased by 28% compared to Q1 2016. With increased volumes and the plant consolidation later this year, we expect to see margin levels improve in Asia. While we continue to monitor the possibility of a negative impact of customer consolidated within Distribution & Storage U.S., we continue to see a very favorable order level so far in 2017, particularly from CO2 and hydrogen applications. As mentioned on the previous call, in the quarter, we received a significant award of $8 million to convert asphalt plants to LNG and an $8.7 million order for industrial gas railcars. Moving to BioMedical. First quarter orders of $51.7 million were up from $48.9 million in the fourth quarter 2016, driven by stronger orders in respiratory, cryobio and commercial. In particular, respiratory orders for concentrators and liquid oxygen products were strong in Europe and Asia, while stainless cryobio orders grew globally. Revenue grew 5.5% from the prior year quarter and we expect our full-year gross margin for the BioMedical business to grow from the full-year 2016 margins, excluding the AirSep insurance settlement. Turning to our restructuring and investment activities. As mentioned on our fourth quarter 2016 earnings call, we are continuing to reduce our cost structure through three significant restructuring projects: First, the BioMed closure and the consolidation of our Buffalo respiratory operations in Canton, Georgia; second, the consolidation of our China manufacturing facilities; and finally, the relocation of our corporate headquarters from Cleveland, Ohio to Canton, Georgia. I will provide an update on each of the three and the anticipated timing of the savings that will result in $10 million of annual run rate savings beginning for the full year of 2018. The BioMed consolidation was completed on schedule as of March 31, 2017. Resulting from this, we expect approximately $3 million of savings in the remainder of this year. Consolidation of our Chinese facilities has begun and is on track for completion by year-end. The China consolidation reduces cost in both our Energy & Chemical and Distribution & Storage businesses, and the Energy & Chemical Wuxi consolidation is expected to be complete by the end of the second quarter, generating over $1 million of benefit in 2017. Our corporate headquarters move from Cleveland, Ohio to Canton, Georgia is well underway with the core functions of finance, IT, tax, treasury and legal being established in Canton. While the functions are well underway in the Canton location, our lease commitment in Cleveland is through the end of the year. In addition to the restructuring activities, we're progressing on our scheduled 18-month $24 million capital investment in an additional furnace for capacity and operational improvement for our brazed aluminum heat exchangers in La Crosse, Wisconsin. This investment, along with additional automation and streamlining in our plants, are key aspects of our $35 million to $45 million spend in capital budget, which is fully funded from our $244 million cash on hand. Additionally, we're actively pursuing our M&A pipeline with a concentration on core technologies and adjacencies. Before opening up the call to questions, I would like to thank Sam Thomas for his 14 years of leadership of the Chart business. We're excited to continue the organic and inorganic growth efforts that Sam has developed within Chart, and look forward to continuing the transition with Sam as our Executive Chairman of the Board effective at our Annual Meeting on May 25. With that, I would now open it up for questions. Jonathan, please provide instructions to the participants to be able to ask questions.
Operator: Our first question comes from the line of Rob Norfleet from Alembic Global Advisors. Your question please.
Robert F. Norfleet - Alembic Global Advisors LLC: Good morning, and thank you for taking my question. Just quickly, we've obviously seen nice sequential margin improvement in the E&C business over the last few quarters. Obviously, this quarter going north of 21%. And during the last conference call, you kind of stated that being somewhere in the 20% to 25% range for the year in 2017 would be difficult. So could you kind of discuss what we saw in Q1, were there some one-time items or close-outs that favorably impacted margins in the E&C? And should we expect to see margins consistently in that low 20% plus range for the year?
Jillian C. Evanko - Chart Industries, Inc.: Yes. So, in the first quarter, we did have a quick ship in the E&C business, which had about a 50% margin level on it. The magnitude of that was about $1.5 million on the revenue side. On a full-year basis, we expect to be in the 20% range for E&C business.
Robert F. Norfleet - Alembic Global Advisors LLC: Okay. Great. And then secondly, I know you all admitted an SG&A run rate of around $180 million to $185 million for the year. But, as you start to see order trends increasing and obviously revenues growing, clearly there's going to be a point when you're going to have to basically reinvest back in the business, whether it's adding to your labor force or capacity. At what point, I guess at what level of revenue or what increase in revenues, would you expect to see the SG&A have to start ticking higher?
Jillian C. Evanko - Chart Industries, Inc.: We feel that the SG&A at the $180 million or $185 million level will support $1.2 billion of volume.
William C. Johnson - Chart Industries, Inc.: We've been very careful to not cut our SG&A expenses on the sales side, on the engineering side of the house and on our ability to perform there and to deliver on that level of revenue.
Robert F. Norfleet - Alembic Global Advisors LLC: Okay. Great. And last question and I'll get back into queue. Obviously, with one quarter done and still three quarters ahead of us, but the guidance range, it is still fairly wide from $0.60 to $1.00. Can you kind of walk us through what needs to happen to effectively get to the high-end of that? Is it going to be more predicated on seeing a faster improvement in order intake in E&C and D&S, or is it more of a matter of the margin improvement?
William C. Johnson - Chart Industries, Inc.: Yeah. I think it's a little bit of everything, right. I mean there certainly is a – you know, on the E&C side, the business is a little bit lumpy in terms of orders. And on the quick ship side, we don't – it's really hard to kind of predict those types of orders coming into the E&C business. So I think that certainly plays a part in getting to the high-end of the range. We are off to a good start in the D&S business and we're seeing good margins there in line with the plan that we had. And the first quarter, we had very nice orders. So, we'll keep a close eye on that as we go throughout the year. But I think so far, we're off to a pretty good start, but really the lumpiness of the E&C business will drive kind of the high-end of the range.
Robert F. Norfleet - Alembic Global Advisors LLC: Great. Thanks for your answers. I appreciated it.
William C. Johnson - Chart Industries, Inc.: Sure.
Operator: Thank you. Our next question comes from the line of Eric Stine from Craig-Hallum. Your question please.
Eric Andrew Stine - Craig-Hallum Capital Group LLC: Good morning, everyone.
William C. Johnson - Chart Industries, Inc.: Hi, Eric.
Eric Andrew Stine - Craig-Hallum Capital Group LLC: Hi. Just maybe starting with E&C, you mentioned the Tellurian FEED study underway in your pipeline. I mean is there anyway – maybe any way you can quantify kind of a year-over-year change to that pipeline and then maybe when you think about the pipeline, can you talk about the mix between Chart's involvement in engineering versus supplying the equipment because obviously it has a pretty big impact on the scope?
William C. Johnson - Chart Industries, Inc.: Yeah. I mean I don't think we want to get into the business of handicapping which projects are going to go forward, but we certainly are seeing a lot of projects have a lot of activity, more activity, more inquiries. The Tellurian project did advance with the FEED study and also the FERC filing for that project, which we're hoping to see that come out of FERC in the first quarter of 2018, which – if all the timing is right. We certainly have – Cheniere has assigned us a FEED study and that's with KBR, Chart and Siemens kind of consortium on that project. So I would say those are the two that are kind of top of mind right now. We do have a mid-scale proprietary liquefaction technology that will be used in both of these projects if they go forward, which is – will be our first entry into kind of, the – where we have the process technology. So we're excited about that, having a mid-scale liquefaction solution and we've generated a lot of interest with that technology.
Eric Andrew Stine - Craig-Hallum Capital Group LLC: Got it. In the case of those two mid-scale projects or using that, I mean is that where you would be more – there would be more engineering and therefore more scope?
William C. Johnson - Chart Industries, Inc.: Yes.
Eric Andrew Stine - Craig-Hallum Capital Group LLC: Okay. Thanks for that. Maybe just turning to industrial gas, good to see the packaged gas pickup there. I mean, as you think about that longer-term, I know that's a good leading indicator, is that something you foresee translating into air separation picking up on the E&C side?
William C. Johnson - Chart Industries, Inc.: No, I don't see, air separation picking up in 2017. Where we saw strength in the packaged gas was on the CO2 and hydrogen applications.
Eric Andrew Stine - Craig-Hallum Capital Group LLC: Okay. All right. Last one from me just to clarify, so when you mentioned quick ship in the previous questions about getting to the top end of guidance, but just to clarify, I mean, you had what you did in the first quarter but you're not assuming any quick ship business in that guidance, is that right?
Jillian C. Evanko - Chart Industries, Inc.: That is correct.
Eric Andrew Stine - Craig-Hallum Capital Group LLC: Okay. Thank you.
Operator: Thank you. Our next question comes from the line of Rob Brown from Lake Street Capital. Your question please.
William C. Johnson - Chart Industries, Inc.: Hey, Rob.
Robert Brown - Lake Street Capital Markets LLC: Good morning. On your Hetsco business, what was the contribution in the quarter and how do you see that playing out for the year?
Jillian C. Evanko - Chart Industries, Inc.: So, for the quarter from a financial standpoint, we look at the Hetsco business as part of LifeCycle. The full-year look on Hetsco particular business is in the mid-$20 million range on the top line and contributing to the bottom line at around 10% to 15%; in the first quarter, it's on track to that for the full year.
Operator: Does that answer your questions?
William C. Johnson - Chart Industries, Inc.: Looks like he dropped off.
Operator: All right, our next question comes from the line of Jeff Osborne from Cowen and Company. Your question please.
Jeffrey Osborne - Cowen & Co. LLC: Yeah. Good morning. Maybe just a pickup on the LifeCycle question, I heard the Hetsco response, just how is LifeCycle doing in general? And what do you expect the contribution for that to be for the year?
William C. Johnson - Chart Industries, Inc.: Yeah. And I mean, we're very excited about the LifeCycle business. We continue to work on the integration of the Hetsco piece into it. But, we're looking at that business being somewhere around a $40 million, $50 million business this year. And that's up quite a bit from last year.
Jeffrey Osborne - Cowen & Co. LLC: Exactly. Two others from my end. You mentioned, I think twice on the call about LNG vehicle tanks and I think refueling you mentioned in Asia. Can you just talk about, I assume that's China, but what you're seeing in that market and the outlook for the rest of the year?
William C. Johnson - Chart Industries, Inc.: Yeah. So, we've seen nice vehicle tank in Europe in particular. And we continue to see strength there, and we continue to see that be a strong market throughout 2017 and into 2018. In Asia, we saw an uptick in our fuel supply stations. I don't want to get too far out ahead in Asia. The utilization on the liquefaction, the capabilities are there and the fueling stations are still relatively low, but there are areas of China where they need these more fueling stations and they're starting to put those in. And I think a lot of it is being driven by diesel prices have creeped up in the last kind of 18 months or so, 15 months, 18 months in China by 20%, where gas prices have stayed relatively flat. So, it's driving heavy-duty truck, more heavy-duty truck utilization of LNG. So, there are areas of highways that need to have these fueling stations. But I think we're still looking at some period of time before the fueling stations and the existing capacity of liquefaction gets used up.
Jeffrey Osborne - Cowen & Co. LLC: Great. And the last one I had is just, is there a way to handicap the rough size of what, if they were to go through from a FERC perspective, Cheniere and Tellurian would be in terms of potential revenue to Chart?
William C. Johnson - Chart Industries, Inc.: No, I mean, it really depends on the final scope of products that they give to us and then whether our technology gets accepted or not.
Jeffrey Osborne - Cowen & Co. LLC: How would you characterize the level of the competitive environment, in particular with pricing with the increased activity or is it just too early to tell?
William C. Johnson - Chart Industries, Inc.: In which area?
Jeffrey Osborne - Cowen & Co. LLC: E&C, sorry.
William C. Johnson - Chart Industries, Inc.: It's still very difficult pricing environment across the board in E&C; I mean, it's still tough markets.
Jeffrey Osborne - Cowen & Co. LLC: D&S would be the same?
William C. Johnson - Chart Industries, Inc.: I would say that D&S is more stable than E&C. But, it's still a tough pricing market.
Jeffrey Osborne - Cowen & Co. LLC: Got it. Thanks much. Appreciate it.
Operator: Thank you. Our next question comes from the line of Matthew Trusz from Gabelli & Company. Your question, please.
Matthew Trusz - Gabelli & Company: Thank you for taking my question.
William C. Johnson - Chart Industries, Inc.: Hey, Matt.
Jillian C. Evanko - Chart Industries, Inc.: Hey, Matt.
Matthew Trusz - Gabelli & Company: Could you just talk about how orders progressed through the quarter in E&C and D&S, and what your sense is of customer confidence levels and sustainability?
William C. Johnson - Chart Industries, Inc.: I didn't. Sorry, I didn't catch the last part of the question.
Matthew Trusz - Gabelli & Company: Sorry. Just relating to orders and their cadence, what your sense is of your customers' confidence and how sustainable that is going through April and the balance of 2017?
William C. Johnson - Chart Industries, Inc.: Okay.
Jillian C. Evanko - Chart Industries, Inc.: So through the quarter, our order trend increased sequentially in each month of the quarter across each of the three businesses.
Matthew Trusz - Gabelli & Company: Great. And then if we turn to BioMedical, can you just talk a little bit about how the respiratory business is performing in the U.S.? I know, you said good in Asia and Europe. And then, in the U.S., just update on commercial changes there to drive growth on that front?
William C. Johnson - Chart Industries, Inc.: Yeah. First off, the Asia and European markets were very strong for us. I would say the U.S. respiratory business was flat to down slightly on the revenue side. We have a number of new products that we'll be coming out with in the second quarter, mainly portable oxygen – a new portable oxygen concentrator in the second quarter, which we think will help the U.S. markets, and recovering some of our share there.
Matthew Trusz - Gabelli & Company: Any update on the ability to go direct to consumer in the next year or so?
William C. Johnson - Chart Industries, Inc.: Yeah. I mean, we're certainly working on that, and I wouldn't expect a large improvement in that in 2017, but certainly by 2018, we should be in good position there.
Matthew Trusz - Gabelli & Company: Great. Thanks. And then, one more from me if I may. Can you just elaborate on the CapEx framework that you have over the next several years? Granted spending $24 million this year on the furnace, but do you think you'll find another $20 million or $25 million every year of good return projects above and beyond your maintenance needs? And where do you want to make the investments? What's the priority?
Jillian C. Evanko - Chart Industries, Inc.: Matt, this is a clarifying point. The $24 million on the investment this year is actually $24 million for that entire project, which will go across 2017 and 2018. So in this particular year, we've got about $17 million of that $24 million.
William C. Johnson - Chart Industries, Inc.: Yeah. So, I think historically, we've been in that kind of $20 million range on productivity, and I can tell you that, when we – within our factory, there certainly is plenty of automation opportunities for us to go after and we are. And so, I would say we can continue at that level for quite a few years.
Matthew Trusz - Gabelli & Company: Excellent. Thank you for taking my questions.
William C. Johnson - Chart Industries, Inc.: Sure.
Operator: Thank you. Our next question comes from the line of Pavel Molchanov from Raymond James. Your question please.
Pavel S. Molchanov - Raymond James & Associates, Inc.: Thanks for taking the question. So, my understanding is you have three mid-scale liquefaction opportunities with Cheniere, Tellurian and Magnolia. If all three hypothetically were to move forward, can you give a sense of what the backlog uplift would be from those three contracts?
William C. Johnson - Chart Industries, Inc.: Yeah. It's a pretty big number. I guess it's another way of asking the same question that somebody else asked earlier. It really depends on scope of the product being asked for and supplied, and whether our technology is involved or not. So, it's in the hundreds of millions of dollars for sure.
Pavel S. Molchanov - Raymond James & Associates, Inc.: Okay. And as you talk to those three prospective customers, what is their main message about what's keeping these projects from moving forward faster? Is it on the regulatory front or is it more on the contracting and offtake agreement front?
William C. Johnson - Chart Industries, Inc.: No, I think, it's more on the offtake and getting that piece of it down, so that they can get FID.
Pavel S. Molchanov - Raymond James & Associates, Inc.: All right. Appreciate it, guys.
Operator: Thank you. And this does conclude the question-and-answer session of today's program. I'd now like to turn the call back over to Sam Thomas for some concluding remarks.
Samuel F. Thomas - Chart Industries, Inc.: Thanks, Jonathan. We're pleased with our first quarter results and the order trends, in particular with the positive trends in our D&S packaged gas business, and our E&C order growth. The quarter's growth in orders and revenue across all business units, combined with our progress on our restructuring activities, acquisition integration and capital investments support our outlook for the full year. Thank you to everyone for listening today. Good bye.
Operator: Thank you, ladies and gentlemen, for your participation in today's conference. This does conclude the program; you may now disconnect. Good day.